Operator: Thank you for standing by and welcome to the Q1 fiscal year results conference call. (Operator Instructions) I must advise you that this conference is being recorded today Friday, the August 15, 2014. I would now like to hand the conference over to your first speaker today Mr. Louis Gries. Please go ahead, Mr. Gries.
Louis Gries: All right, thank you. Hi everybody, this is Louis Gries, thanks for joining the call today. Matt Marsh and I, we are in Dublin and we will walk through the results like we do usually and that’s I will cover the operations overview, Matt will cover the financials and then we will come back for the question and answers. When we get to the questions, investors and analysts first and then if there are any media questions, we will take those at the end. The people in Sydney will be driving the presentation, so we will be just calling out our slide number, so Slide 1 is just the cover page. Slide 2 is the disclaimer. Slide 3 is the rest of the disclaimer. Slide 4 is just the agenda and like I said same format we always go with. Slide 5 is another cover page. So Slide 6 is the first slide we talk to. So you can see our adjusted net operating profit was down 4% despite having a better market to operate in, and despite difference in EBITs being up some. So we will cover that. Matt will cover the differences that were driven by corporate and obviously I will talk through the business units at a high level. We have some sub-bullet points scenario to go into some detail but basically all the businesses are running in better markets. The US is on skittish we anticipate it would be but it is a better market than last year. And I think our financial performance doesn’t quite reflect as well as it could have in a better market. So we will go through that in some detail. If we go to Slide 7, the US, Europe fiber cement results. As you see our sales volumes is actually slightly above our market index, up 8% which you will see in the next slide. Exteriors is up more than that interiors, actually comp negative against last year. Sales price is higher, production costs were one of our issues during the quarter. Start-ups played into that but it wasn’t exclusively the start-ups that Fontana in the start-up last year and it’s still not up to design at Waxahachie. So we’ve had plant inefficiencies due to the plants that are bringing on capacity. Those would be obviously Fontana’s start-up of both line 1 and line 2. We actually had started line 1 last year and still experiencing some difficulties. It’s not that it’s not operated in a fairly high level, it’s just not operating at design yet. And then Plant City also brought up capacity this year and their overall efficiencies are falling off as they have done that. We were expecting a better housing market, I think as everyone was and we put some costs in the business to mainly either support our efforts to increase capacity or support our market share initiatives in the business. The costs are still in the business, it’s not like we have to pull it out but if we would have known the market was going to be where it is we would have put less in, so we kind of saw the prices, and installed the process in some areas as far as any further costs. And then we discovered the fact that most people thought the market would be up 15%, 18% this year and it’s looking more like 6 to 8. So it’s again it’s a better market, it’s just not as good as we planned for. So if you go to Slide number 8, you’d kind of can the details, probably the highlighted pages, the price is strong. We talked about an increase we took in April which was around – we thought it would net out to around 2.4% across the product mix, it was exterior products only, and that’s probably about sort of our price improvement and the other two would be the tactical pricing improvements we made last year have carried forward and the mix improvements that we have realized some mix improvements in the business. But if you go to net sales up 16%, volume up 8%, like I said exteriors up more than that, interiors is actually off about 3% for the quarter. And EBIT only up 14% and really a market like this the bottom line should be up more than top line as you know. And the reason is not is mainly what I talk about, we had little more cost in the business and we would have put in at this volume but more importantly we have higher unit cost of production, some of that’s the commodity cost increases we’re seeing in cement, natural gas and pulp. Pulp, we came in, in the year high and that was forecasted to come off and it hasn’t come off. So we’re facing higher commodity costs and then we are facing both the start-up inefficiencies which I mentioned which we kind of planned for but we’re not quite on plan with our start-up at Fontana and then there are inefficiencies that aren’t so directly related to start-ups. So EBIT margin actually down two-tenths of a point versus last year, still within our range but clearly not where we want to see it in the first quarter. First quarter is usually obviously a good quarter for EBIT generation. Just to give you an idea of how much I think we’re off, where we like to be for a quarter like this, my estimation is that we had $8 million more EBIT in the US business which we could clearly deliver with better plant performance, we’d be running in line where we want to be in a quarter like this or about $8 million short in the US business. Go to Slide 9, that’s a chart like I said, we are in the range. We anticipate staying in the range this year, so a slow start with the EBIT margin, and the first quarter doesn’t change our view about where we end up for the year with our EBITDA margin. But again we’d rather see some above 23 in Q1, so we are couple points off where we want to be. Slide 10, as your housing starts against our growth volume and -- volume and revenue, the revenue line obviously steeper than the volume line because like I said we got price improvement in the quarter. We are running above our market index, we do it for quarter rolling is the most accurate way to look at in the business, we are fairy happy with where we are on the fourth quarter rolling. We don't have this quarter's index – it’s going to be positive but it’s not going to be as positive, and most of you would have seen that LP had a good quarter, LP being a selling wood substitute for our product – what we determined to be better exterior growth than we had. Now we have different market indexes, so it’s not quite one to one comparison but you still can’t get around the fact that their volume growth looks like it was volume growth which is obviously not a good outcome for us. If you go to Slide 11, average selling price, like I said I think our price is tracking where – the way we wanted it to rack, I think it’s at the right level, proceeding with our market share programs but it's also at a good level from a return perspective, we got the tactical pricing straightening out, so segment pricing is not waking from one segment to the next. So we are very happy with current level of pricing in the process. Page 18 has the Asia-Pac results, not that similar to the US, I think we should have done better in the bottom line. We had 6% volume gain and 2% price again in Australian dollars and we only had a 4% EBIT gain in Australian dollars. So similar story, we should have delivered more in that case, probably not at the same magnitude as the US but probably 2 million, maybe 3. The businesses, it’s well-positioned, it’s well run, just a quarter that doesn’t encompass as well as it should. I anticipate full-year will compare in the quarter does in Asia-Pac. That’s the policy in the US actually. Get the manufacturing capacity expansions. So we have three that are in construction phase. Right now we have Plan City number four, Cleburne number 3 in Carole Park, with the amount of investment again, I think the bigger story is the effort in the business to bring the capacity on on top of the fact that we brought number one Waxahachie back and we brought number one and two on Fontana back. So there is a lot of work in our manufacturing, it kind of matter when you build this capacity but also bring that mine and – I think we need to do better with these three startups once we fit and we’re done with Fontana but it has stretched the organization a bit to have this much capacity work going on at the same time. Slide 15, the short summary is even though the US isn’t improving at the rate it was forecasted, it was going to say at the end of last year – it’s still an increasing market and that’s mainly what we need. So our problem isn’t that the market is not getting up or promise that we plan for the market to be a little better than it was. In addition, in and out of Australia, New Zealand, the Philippines are our big markets. So we are looking, maybe we get a good markets to operate in, organizationally we’ve gotten the spinning wheels a little bit, shows every quarterly results, I think walk away out of that situation and get more traction and put more money to the bottom line. But I don't see it dramatically changing overnight. So our order filed in the US, over the last six weeks since the fourth quarters it looks very similar to what it was six weeks prior to that. So it’s not like we’re gaining momentum on the order file, so I think we will be dealing with these volume increases in Q2 and Q3 somewhere in the range of what we saw in Q1. I think interiors, we can get more traction. I think exteriors it’s going to be largely driven by what’s happening with housing. Like I said it’s running softer than forecasted, still some forecasters are saying that game is going to be a catch-up, we’re really not seeing that or believing that. So we are not planning for a big catch-up in the second quarter on housing starts. Looking our – Matt, for the financials.
Matthew Marsh: Thanks, Louis. So Slide 17 on our group results highlights. Lou has already talked about a lot of what earnings have been driven by sales volumes and prices up in the business units, albeit a little bit more modest than we thought to be. The higher production costs, we have talked about in little bit more detail on input costs especially and hen some of the plant efficiencies and Fontana starting up some of the other lines and the higher organization spend, you will see as we go through some of the segment results. Stock compensation is up largely because of share price appreciation year over year but there is also increase in some of the discretionary spend and the labor costs, as we have added some of the capability that Lou mentioned. We continue on the capital expenditures for the three big projects. So we’re continuing to invest there. You’ll see on cash flow decreased from trading activities from EBIT 38 to the first three months of the year to EBIT 79 in the same three months in the prior year and I’ll go through that. During the quarter, we repurchased and cancelled about 715,000 shares of our stock as part of the share buyback for a total of about $9.8 million Australian and $9.1 million U.S. at a A$13.69 share price on average and ordinary dividend of $0.32 and the special of $0.20 for a total of $230 million U.S. was paid out on August 8 and we’ll talk about that little bit more as well. So we go to page 18 kind of the group results. Net sales up 12 and as we’ve already talked about because of volume and price. Gross profit down about 30 basis points at a group level, a combination of the higher production costs, the higher market commodity prices on the input side and then the plant inefficiencies. You see SG&A expenses here on a reported basis are up and I’ll go through some of those in detail in familiar slides, in part because of stock comp and in part because of its discretionary spend and the discretionary spend is at a combination of corporate and then the divisions. And then EBIT and then operating profit, you see some of the leverage in the top line loss there. It’s really a few things, there’s about a million dollar, $1.1 million of interest expense from AICF that we report. Other expenses increased largely due to the realized and unrealized Apex losses and then income tax expenses increased about 12% due to estimated higher effective tax rate that I’ll go through more a bit. On page 19, so $28.9 million of reported net operating profit in this quarter as compared to $142.2 million of reported in the same quarter a year ago. You can see the adjustments of asbestos, New Zealand weathertightness, liability decrease as a result of the higher rate of claim resolutions and just fewer open claims and so you can see that presents a variance year-to-year to get to an Adjusted net operating profit of $50.1 million for this quarter and $52 million from a year ago that Louis already talked about. On Slide 20, this is segment EBIT. So you can see U.S. and Europe Fiber Cement segment up 14% driven by the dynamics we have already talked about. APAC in local currency up 4% on a reported basis down to on a U.S. dollar basis. And then research and development up slightly still about 11%. I think that this is a continuance. I think in the last couple of calls or last couple of quarters we talked about as timing of projects and it’s gone one way and it just happens to be going the opposite way, so relatively small change. And then general corporate costs, you can see is up 55% year-over-year, some of that due to the stock compensation expenses and the accounting we do for that and then there is a smaller part of that which is due to some of the discretionary expense we had done at the corporate level and organization costs there. Slide 21, the slide that is familiar to many of you shows the historical changes in the Australian dollar versus U.S. dollar, the movement in the currency of those exchange rates this quarter and unfavorable impact done in Asia Pac results. For earnings it had a favorable impact on corporate costs in Australian dollars and an unfavorable impact on translation of the asbestos liability from 31 March of this year to 30 June of this year. Slide 22 is just some discussion on U.S. input costs over the last few years. Input costs are up significantly over the prior year and over the last two years primarily driven by pulp, silica and cement market indexes and the movement of those commodities in the market. Many of our input costs obviously fluctuate in line with those market prices and that’s what we’re trying to show you on the left. You see the NBSK pulp prices at a three-year peak, the costs of natural gases nearly doubled our last two years and while we are engaged in good sourcing and procurement strategies and we are outperforming these market indexes. Nonetheless it does create some of the gross margin dynamics that we’ve talked about earlier. And Slide 23 is income tax expense and ETR. So the adjustment of effective tax rate is up compared to last year primarily due to shift in the geographic mix of earnings and income tax expense excluding the tax adjustments is increased compared to the prior corresponding quarter due to the higher ETR on a flat Adjusted operating profit before income taxes. On Slide 24, look at cash flow. Net operating cash flow decreased $42.5 million. The movement compared to the prior corresponding quarter is driven by working capital and non-trading activities. Working capital is primarily inventory, a little bit of an inventory build in anticipation on the market and the replenishing inventory as well. Net cash from investing activities is primarily driven by property, plant and equipment that’s related to the build-up of the various lines that we’re doing as part of the capacity expansion. And then there was an increase in the funds that we’re used in financing activities. Those largely reflect the dividends that we paid of $124.6 million, which is a 125th year anniversary special dividend and then the repurchase of shares through the stock and that’s probably about $9 million. Page 25. As you look at capital expenditures in the first quarter are $48.6 million up from $26.1 million in the first quarter of 2014 fiscal year. So we continue to spend obviously in the previously announced three plant projects. We’re continuing to assess and move forward with the greenfield and brownfield projects across the U.S. I think many of you are already with in the first quarter of fiscal year ’14 we did the purchase of the previously-leased land at Carole Park and we are still tracking in line with the last couple of conversations where we said our plans to invest about $200 million per year in capital expenditures over the next three years. Slide 26. No real change on capital management. We are continuing to deliver the capital structure with a view to get to a target net debt position in the 1-2 times EBITDA excluding asbestos range. Our goals on capital management are unchanged. We plan to reinvest in research and development and capacity expansion over the next … continuing to provide shareholder returns in line with our peers and the ASX index and the framework that we’ve been talking about is unchanged as well. So capital efficiency within a prudent kind of rigorous financial policy while we expect there is still to be a strong cash flow that’s get generated at the same time. So just on liquidity and capital allocation update, on a liquidity standpoint in May we had about $150 million credit facilities that replaced and really augmented an existing US$50 million facility that expired in February of 2014. Our total facility is now at US$505 million with a combined average tenor of about 3 years. In May we announced a new share buyback program to acquire up to about 5% and during the quarter, as I mentioned earlier, we bought back about 715,000 shares at about A$13.69 plus on average and then we’ve talked about the dividends already. On 28, on debt, total facilities were 505, cash at the end of the quarter were about 32, so unutilised facilities were about 537. We are well within the financial covenants on the 31.1 of cash compared to the net cash of US$167.5 million for March 31 of 2014. Net cash position above was reduced subsequent to the quarter as the May 2014 dividend payment of US$124.7 was paid and subsequent to the end of the quarter, we moved into a net debt position, drawing about US$320 million of our debt facilities to the fund capital expenditures, dividend payments and then the contribution to AICF. Quick update on New Zealand weathertightness. In the first quarter, we had a benefit of about US$1.3 million. The claim resolution continues to trend on the positive line. There are fewer open claims and there continues to be a reduction in the number of new claims. So at the end of the quarter versus last quarter, the provision for New Zealand weathertightness had decreased US$10.3 million and US$12.7 million, respectively. On page 30, asbestos funds –a pro forma. So the fund as of 31 March had A$65.5 million of cash with about $18.8 million of insurance recoveries at the end of June, AICF cash and investments of $51.9 million. Year to date for the first three months of this fiscal year claims were about 2% above the most recent actuarial forecast and about 3% lower than the prior corresponding period. In the Slide 31. So Adjusted net operating profit of US$50.9 million, improved sales volumes and price, the higher production costs, the higher input costs and the plant inefficiencies compressing some gross margin EBIT while the operating segment’s EBITs are up 5%^driven by the U.S. of 14%. The unfavorable impact on tax through the fair value on interest rate swaps and the foreign currency losses is what’s causing some of the deleveraging if you will from EBIT to net income. We’re continuing to invest in capacity expansion both in the U.S. and Australia. The FY14 Ordinary and Special Dividends were paid in August for a total US$230 million of shareholder returns and we’re continuing on the strategy that we’ve described on capital management. For fiscal year ’15, look in the outlook earlier. This said a lot of the stage for this. We expect our Adjusted net operating profit to be between US$205 million and US$235 million for fiscal year ’15 assuming several factors, most importantly the housing conditions in the U.S. continuing to improve and exchange rate at or near current level. So now we can open it up for questions.
Operator: Thank you. We’ll now begin the question-and-answer session. (Operator Instructions). Your first question comes from the of Jason Steed from JP Morgan. Your line is open. Please go ahead.
Jason Steed – JP Morgan: Hi. Good morning, Matt. Just a matter of thought, just two questions. Just interested in know your comments on LP and I guess the progress that made against but not against yourself most clearly but like their own PDG into the market. Remember around this time last year when you’re in the U.S. when you made a comment that largely the LP threat had been dealt with. I’ll be interested in what’s that dealing which is dealing to that path in your mind and how you deal with the threat this time around? And the second question is just on the interiors. I mean before back in interiors you have flat, but do you just see yourself now able to arrest that and run and keep interiors flat or is it going just to give it holding on for as long as you can?
Matthew Marsh: Okay, thanks. First on LP, this again described what’s happening in the market. So early days and already obviously we saw we positioned ourselves against wood. It’s been our assets for durability and maintenance. A lot of those manufacturers went out of business. Most of them get out of left siding as we start to take majority in positioning left siding. Again in around 2000 we started pointing toward vinyl, which is really more market development pretty big up sale vinyl, so as much two times the cost of vinyl where wood be about 20% premium. Vinyl was a big share player at the time, again way up to 44%. Okay? So we have been successful in maybe causing or at least accelerating the decline in vinyl and that’s continuing. So I think the reality is right now hard sidings. So if you think of hard siding be in fiber cement and now LP wood, there chip order always be whatever you want to call it siding, were both benefiting from the vinyl decline. We benefit in different ways. So they have vinyl products, which they have a good position on mainly against plywood and our vinyl products are in the market but they don’t deliver either the share value or tongue and groove edge that you can get on a wood product. So LP or LP-like technology has always been able to do things with a panel that the fiber cement can’t. And then we have the advantage on the planks and then with our work against linen, we start creating markets of trim and houses that used to be vinyl then have a trim on it so when you put fiber cement on, you need some trim boards and Hardie’s trim board portfolio has lacked our siding portfolio. So the difficulty and the usability of our trim in all applications is not as good as it is with our sidings. So both PDG trim and hardboard or what’s be trimmed start to enjoy some market demand on Hardie houses that in the past had been at vinyl houses. So that’s kind of how the whole thing kind of sets up. So they are heavy in panels. A lot of else panels go to building sheds and some of those panels go into housing. They have a good trim position and then they have what they would feel and then we would feel is an emerging left siding position and that left siding positioning has really docketed a future for us and I think the builders that make the selection know what they’re giving up as far as durability and maintenance, but they also get a lower cost and get easily arranged all mainly because you have one set of tools on the job. So if I did communicate that I thought we had dealt with at, I apologize for that. I think what happen is we were unaware of the traction LP was getting until about two or three years ago and once we became aware of it, then we started to look on door positioning in northern markets which is against volume on one hand and against LP type products which is few other manufacturers of the hardboard out there resides at LP, but the LP is the one that’s mostly active in the market. So it’s a quarterly result. If you look back at the past four quarters which is how we do because number one, quarterly results you have more variance and then when you have two companies working at quarterly results you have even more variance because it’s their last year’s quarter against during this year quarter and then you might have a good or bad quarter last year and then the same goes for us and then you compare the two companies. But at the end of the day, I still believe that LP is getting more business in the siding market than near value proposition really dictates and I think that’s been somewhat driven by gap in our positioning and some markets and then the industry of the builders in particular becoming more price catches sort of downturn. So the $800 or so they can save putting up LP is more important to now than it would have been five or six years ago. Even said that I think the reality is you’re always going to have a product like LP out there mainly because you have advantage on panel and like I said they have a good trim position, whether to be trim in newer houses or other houses, they have a good trim position, but they don’t have the same value proposition as Hardie has in. I think we need to do better job re-establishing that more broad-way in the markets. I would not react at one quarter. I mean in trim I would, but I stated strongly I would not react at one quarter but I wouldn’t take all of vinyl’s decline and just put it on our top line either because it’s obviously been split to some degree right now.
Jason Steed – JP Morgan: And then it wouldn’t be any reason to rethink penetration rates and that’s one quarter, so the [indiscernible] point but no reason to rethink your profile on penetration over the next three to five years?
Matthew Marsh: I think the first kind of get up point is the decline in vinyl seems to be pretty consistent. So when you think about 35, 90 which is the brand for our growth strategy, most people know that was 35 market share for fiber cement and 90% category share for Hardie, but probably better way thinking about it is volume declines and I think the hard siding market share goes up maybe it goes-- I don’t know where it goes to, say 45-50. I mean obviously we’ve done some modelling, but I’m not going to put a stack in the ground and what I think wood plus linen goes through and many question is how much of the hard siding category we get and how much is wood yet? And what I said the wood value proposition I think is well on your stead and there is a certain segment of buyers that would be very attracted to the lower cost and not so attracted and not so much influenced by the yearly proposition for the homeowner, but it’s all worked, it has begun. But I change my volume expectations for the Hardie business over the next three to five years which I think you should question. I think mostly we shot for kind of four PDG in the market like this at 6% and we need some 8s and 9s to grow at the rate we want to grow at. So I think that’s still obtainable but clearly with LP also trying to grow in the same stage at the same time, it’s definitely more fight than it would have if LP wasn’t there.
Jason Steed – JP Morgan: That’s clear.
Matthew Marsh: Question on interiors. I think we might have talked about interiors last September. Our product again sort of cement boards has developed into really a premium-price product. So if you go back in time, the cost of using Hardie for a tile setter would be very close to the cost of using a glass mesh cement board. Now over time the retail outlets have realized their custom boards or even more than the other boards. So we are growing share very quickly and even when there is start taking higher margins on our board we continue to take share. So our price premium on our board, it differs around the U.S. For what used to be maybe a $0.50 to $1.50 premium, it can now be more like $2.50 to $4.00 premium. Now that’s still not a lot relative to the cost of doing a job for a tile setter, but I think the premium has driven most products conscious buyers back down to the fiber glass mesh in that board. Now I don’t think that’s the biggest part of the problem that we face currently. I think the bigger part of problem is like the retailers when we found out retail growth market share with Hardie at the same time at that price, we kind of learn that we’re in the point of yes curve where we could grow market share at the same time we could reduce SG&A resources in the segment. And I think what’s happened is we’ve gone too far and maybe the retail price has gone too far we’ll have to do those studies and talk to our customers about that, but I think for us what we had on total control is I think we get a resource allocation between interior and exterior, a little bit too far to the exterior. So I do think interior market share especially in the retail channel which is by far the least channel can be corrected fairly quickly with just some [indiscernible] in our part and how we allocated our resources in the programs and run with the stores. So we’ve started construct more interiors surely to see the output and the recovery will be. I think this is a very unusual quarter and we had actually comp negative in a better market and we had some negative comps when the market was going down, but it’s an unusual quarter. We may account negative in a better market. I’m saying we don’t have the right trim line on market share moving up saying that we’re going to step comp negative. Now we also I think covered at various some good technology going after the cement board share in interiors. So that’s affected the overall market share for cement board some, which is again a smaller part of what we’re finishing. On the main thing we’re looking at now as far as negative comps we had to run our programs as well as we should have run them and but we’ve gone too far on resource allocation internally.
Jason Steed – JP Morgan: Okay. Thanks, Matt. Thanks, Louis.
Operator: Your next question comes from the line of Simon Thackray from Citigroup. Your line is open. Please go ahead.
Simon Thackray – Citigroup: Thanks very much, Matt and Louis. Just following on from Adjusted net, just the expectation that you commented before whether that you feel $8 million would be the EBIT you had. Had it not been for if you had better plan performance, etc. in that quarter, can you just clarify is that $8 million on EBIT with the volume that was you experienced or is that against your planned volume for that quarter?
Matthew Marsh: That would have been and Simon, basically I’m not happy with the result. I mean it’s not a terrible result, but it’s not as good as we would have normally done with the same volume. So I think if we would have handled things better on the manufacturing side and anticipated the volume a little bit differently, we’ve not gotten the volume but anticipated it will be definitely. I think it’s very easy to see where it may be on the bottom line and I wouldn’t be upset with the result to the same degree I have announced. In fact I wouldn’t be upset with at all because I think the kind of the financials we want to deliver this year against the investment and growth that we want to make, you got to come out of the front half of the year in a pretty good shape or else you’re going to restrict somewhat what you’re going to want to do in the second half of the year and I think that’s where we’re at. We’re not turning back, but we are delaying some standing now that if we had the additional money on EBIT line this quarter and can see it heading again next quarter, we thought we wouldn’t be delaying some of that standing.
Simon Thackray – Citigroup: Okay. Did you quantify the delay or did not quantify the delay in terms of how much you’re pulling back, falling back?
Matthew Marsh: No. We didn’t. But I mean--
Simon Thackray – Citigroup: Is it material number or is it more or less-- ?
Matthew Marsh: I do know we spent a lot of money on marketing issues and we spend a lot of money right now on capacity additions. So we’re thinking now 15-18 and now it’s looking to me like maybe 6 to 8. So yeah there is a different amount of money we would kind of spend and take off the bottom line under those two scenarios. And you say it’s material, I guess not a material from a company standpoint, but from how we look at our EBIT line, yeah it makes a difference.
Simon Thackray – Citigroup: Sure. And then just going back a step about the plants inefficiency in Australia, there was a comment on that Australia not performing as well. I think for mainly the last there is many quarters at the end of the day, I was trying a bit on the improvement on the net and margins but tracking back towards what you considered as good operating performance, could you just give us a bit more than you talked about, what that means driving – is it a one off event in the quarter or is it something fundamental that we should be looking at?
Louis Gries: I think the reality is that got in the same little situation in Australia that we have here, and that’s with their capacity in addition in Carole Park, a lot of our focus has been on that, a lot of resources get sucked in, they just didn’t run as good this quarter it would normally run. But in their situation, in the US, it’s kind of been going on about five months. In Australia it’s shorter now, so I would expect a bounce back from both organizations but I actually consider it an easier bounce back for Australia, because they only had the one capacity project right now, we are still in the middle of starting up two machines, going to start another one in December, January, another one maybe February, March. So our US organization has just got a lot on its plate right now and obviously we missed some things that we would normally get right and it’s not been dramatic and – we can get increased machine delays, increased spending on maintenance, it’s that stuff that adds up in the manufacturing plant, it’s not like we have a fundamental problem with running a plant, a lot of plants, they just don't run at the same level efficiency and unit costs that we are used to, at least they have most of them – there is three of them that are just doing fine and then there is five that are struggling to some degree and like I said the plants scaling with the new capacity are struggling to much greater degree than the ones that aren’t.
Simon Thackray – Citigroup: Right, so with that in mind, I was just trying to put some context around the revised guidance or the guidance that’s been provided, it just hits below our consensus, is that – just trying to understand – what are your expectations to hit that number, is it you’re expecting a turnaround in the efficiency of the plants or are you expecting that slight turnaround and it gets linked to that question, which might be helpful for many would be, what are you seeing in the current quarter in terms of any improvements to catch up on what was delivered – what has been normally the strong Q1, what’s the current kind of status and how are things tracking now?
Louis Gries: Let’s go what’s in our forecast, I am not sure what’s in the external forecast. But in our forecast would be housing starts kind of deliver type of volume growth we’ve seen so far this year. So we are not expecting a much better housing opportunity because the marketplace catch up the last six months of the year and there is still some forecasters out there indicating that all of a sudden bunch of houses are going to get built and you’re still going to come out fairly close to what the original forecasted, we’re just not believing that, so that’s not in our forecast. I guess if it did happen, it would happen such a late period in the year that it may not even show up in our demand very much this year anyway. So we are not expecting housing market to spike or start really accelerating. The other thing is I think the other disconnect you have between the external financial forecaster and ours is we have all the corporate stuff in there, some stuff that you guys know about which is the higher debt and some stuff you don't know about the effect, which is the interest rate swaps and stuff like that. So – but I think the higher debt and potentially tax rate are two things that are different between the two forecasts. Now as far as what else is in our number that gets us to that 205 to 235, which is a pretty wide range which is normal for first quarter. It’s not a quick turnaround on anything – I need to keep repeating, I don’t like the way the plans around this quarter. But it’s a quarter and like I said it’s a little more than a quarter in the US. So it’s not that we are in trouble, it’s just that you have normal variance in a business and how things run, and a plants kind of get upside to their normal band and then runs well, as we expect them to run. Now do we expect them to run in that normal band the rest of the year? I think we are going to have to do better on our start-ups because that’s where we are facing, we are facing three get start-ups in the next nine months and we are coming off our start-up in Fontana which wasn’t done as well as it should have been done. So that’s up, we got to flip the switch on and do better with our start-ups. But as far as the operation of our plants, I think we’re just not – need to get back and get a control band that we are kind of used to and I don’t think that’s – that big of a challenge for the organization. We know how to do that, we haven’t done it the last four, five months but we know how to do it and I would expect in the forecast it’s in the K that we would be able to get back in our path. As far as commodity costs, we still use external forecast for pulp, to do our forecast because we don’t think we are actually smarter than pulp forecasters as far as what the global supply and demand looks like for pulp. So far the forecasts have been wrong, it’s stayed up much higher than was forecasted and we just have in our current forecast and their current forecast is a lot more – lot higher pulp going further in the year of that netbacks. Other than that pricing I think we got our arms around the pricing, the oil spend, yeah, we are not – increased spending at the same rate that we did in the first quarter. So that’s in our forecast, like I said we are not a slashing for revenue business, so I don’t think you should expect SG&A costs to come down but I wouldn’t expect them to accelerate until we get more comfortable where market demand is.
Simon Thackray – Citigroup: And Lou, just really quickly, related to that discussion, but the small working capital build up which was obviously a result of a demand forecast error if you like – does that cost in the margin in the second quarter and the current quarter as you unwind that, or is it not picking up to impact margin?
Louis Gries: I have to get questions, so going into winter, we’d have to restrict production in order to our inventory down. We always build in the winter and what we will do is we will delay start-ups rather than not run our current machines in the winter. So I don’t think in fact, so when I say July start-ups you might be talking 45 days like that, you are not talking about six or eight months of delay start-ups. But that’s the way you would do that. Now one thing you probably – you or one of your guys would have picked up on is some of our higher costs for us is still in inventory, so you will see that continue to come through for about 45 day period as well.
Operator: Your next question comes from the line of Liam Farlow from Macquarie.
Liam Farlow – Macquarie: I guess just following on from the some of the points Simon raised, I just like to touch on – I guess what are your current learnings in terms of CapEx expenditure and how projects are tracking to expected – with some of the plant expansions? And I guess also just how would you tackle start-ups recently compared to what you have been doing so far in terms of strong return on that performance?
Louis Gries: As far as current learnings on the CapEx, I think the CapEx, the construction is part of the CapEx, it hasn’t been an issue for us. We didn’t built anything for four, five years, so we are probably a little bit rush in a few years but it doesn’t make much of it, it didn’t make much of a difference in the cost of the capacity. The bigger issue was the start-up where we actually had one, and then that’s 15 months ago, and we started out Fontana one, two, three costs together now. What do we need to do different? I guess one of the things I need to point out just so everyone knows is this is a different size business than it was when we had the capacity in the past. So looking at so far Plant City, Cleburne, Fontana, you’re talking about starting up five machines in about 15 months, we have never done that. So it is necessary, we know how to do it, we did never had to have, that may evolve. So I think the number one kind of strategy in a start-up is to fire all up from ongoing operations, and I think that’s going to become even more critical as we get multiple start-ups going on at the same time. So you got to get Waxahachie, for an example, when you are starting up line one, which was the idle line, you got to make sure the team run in line 2, doesn’t lose efficiency because they are running at design, start-up it has the ramp up curves, so 30 days into a start-up you are only 30% up to your design, so if that’s through kind of hits the problem, it’s only in the 30% design equation, so it doesn’t cost you near as much as if the other line in the same plant has the problem because they are at higher percent. So fire wall is number one, I think structurally we got to look at differently than we look at this time, and then probably the only other thing we have been talking about is we probably need to get someone across the four start-ups, in Fontana, it’s still being ramped up, Carole Park, even though it’s in Australia it’s going to be a very similar start-up to Plant City and Cleburne. So we probably need to get at least one of – two of our senior people that are fully aware of kind of everything we are finishing during the start-ups, so we are not kind of having the same problem in two different areas that are not potential in terms of learning in one area versus the other. I need to tell you, I do think it’s a challenge. I think we have stressed our organization pretty thin but I am also pretty confident now that we kind of stuffed our toe that we can get to see and figure out and probably be very successful on the future start-ups, that would be – what I am anticipating, going back to Simon’s question. We don’t have big start-up inefficiencies for Cleburne and Plant City built into our forecast as we don’t anticipate we are going to have them.
Operator: Your next question comes from the line of James Rutledge from Morgan Stanley.
James Rutledge – Morgan Stanley: Just first wondering what the tax rate assumed for within the guidance. And secondly, just on the plant inefficiencies of $8 million, just this has been focused on quite a bit but just wondering how that $8 million kind of merged into the next quarter, does that $8 million get fixed over the next two to three months or does it take kind of the rest of the financial year to fix that up and how does that apply into your second quarter margin?
Louis Gries: Okay, I will take my – that question first and then I will hand over to Matt for tax. The $8 million not to kind of crystallize or quantify the problem, actually business our size which isn’t that big I understand, but a business of our size you have a certain amount of variance in the kind of the numbers you deliver, and all I am saying is you look at the last quarter and say, hey, if we would have done this, this, better, you’d have another $8 million on your bottom line and we wouldn’t be having this discussion, but the reality is we didn’t do it better. Now just like I said that with manufacturing we had the market forecast in the manufacturing inefficiencies and the commodity cost forecast kind of all go against us. So in preferring that’s on our band, $8 million, less than 3 million a month, you get 3 million a month variance in our business but normally you got one month or seven in the next and the next would come in the middle. So kind of all disappears in a quarter, well this time it didn’t get disappeared in a quarter because they kind of roll off. So what do I think is going to happen in the quarters coming out, I think we’re going to have marginally better performance across the board and I think the kind of shocks that we are introducing in the system with some manufacturing issues, namely the Fontana start-up, we are not going to have the same size – we are not going to have the start-up shocks going forward. So they all have to be managed, it doesn’t – the fun of it is it happens but a lot of it is it happens because we have managed it as well we should have. So in the future if we don’t want to have it, we have to manage it better and I think the organization is ready to do that.
James Rutledge – Morgan Stanley: And as far as you flagged on the last call, that your second quarter margin would largely be better than your first quarter this year, which is quite unusual, is that what you can in the future expect this financial year?
Louis Gries: I can say yes but I also have to – look at it. But I do believe second quarter will be better, it was better last year than the first quarter and why we changed that pattern, I am not sure but I feel the pattern is going to be the same thing this year, where we will get more out of the second quarter and then our winter quarters will be relatively better than winter quarters normally are against summer quarters, that’s kind of I think we will end up same shape we were in the last year.
Matthew Marsh: On your ETR question, obviously a decision in the year, there is a lot of assumptions still particularly on where the earnings come from, so geographically where that mix is, as well as kind of the permanent adjustments versus the earnings. So what we have gotten there at the moment is what we showed on the ETR pages of 24.8, I think it’s reasonable that it will be in the mid 23s and 24s but our best look at it at the moment is 24.8 and that’s what we believe is reflective of the full year rate. But that will adjust as the estimate becomes actuals and we get a better visibility on where those earnings are coming from.
James Rutledge – Morgan Stanley: So as far as in the 285 had a 24% tax rate in the 235, at 23, is that kind of the way to think about that?
Matthew Marsh: Yeah, I mean, our assessment at this point the 24.8 I think will move around, so it’s hard for me to say give you a different number and otherwise we probably wouldn’t have booked the 24.8 but that’s our best look at it, I think we will get lot more visibility for the half year.
Operator: Your next question comes from the line of Andrew Peros from Credit Suisse.
Louis Gries: Okay, it sounds like that question might have been answered, have our next question.
Operator: Your next question comes from the line of Emily Behncke from Deutsche Bank.
Emily Behncke – Deutsche Bank: I just had a couple of questions. Firstly around what you are seeing regionally and if you are happy with the market share growth in certain parts of the country and I think you sort of talked in the past around the sort of 6% PDG, do you think that that’s achievable in fiscal ‘15 or do you think you could do a bit better than that?
Louis Gries: Yeah, I do think 6 is achievable and I think we can probably do a little better than that. I think regionally the south was super strong last year and that settled down a little bit and the north has picked up a little bit. So we are kind of more in the pattern now where the growth rate in the north is a little bit higher than in the south, if that holds right through the year, I am not sure. We are not really disappointing in any market right now, the Midwest, obviously where the most of the competition against LP is. Our Midwest numbers are good, first quarter and look good coming into second quarter as well. So really on the market side, I think it’s more of a market opportunity we are continuing to kind of seek absent our trough offering and working hard on that, as far as our market programs around signing everything looks pretty good right now both north and south.
Emily Behncke – Deutsche Bank: Just you mentioned that you were expecting sort of 16 to 18% half in growth now that’s probably more 6 to 8, what – you said you are on target – from a market perspective?
Louis Gries: I think we want to handle, we would on the external and they came in pretty high, last year they were expecting 7 and now they are seeing it’s more like 4 some. Then you hit that, I think our position in R&R continues to strengthen, so we are doing well, market share growth with our R&R program and like I said when they said the margin was up at 7, and just we are looking to, but we didn’t directly plan for that the same way we directly planned for housing starts, because we didn’t believe the 7 was as a believable as the 15. So being running housing starts what we did believe that 15 was believable on housing starts.
Operator: Your next question comes from the line of Michael Ward from Commonwealth Bank of Australia.
Michael Ward – Commonwealth Bank of Australia: Obviously the tax rate on – this 7% is pretty good, you sort of outlined the reasons as to why, can you give us a sense – whether or not you think that’s right in line for the full year?
Louis Gries: I think the tax you are approaching is what we did last year kind of built momentum as we went through the year, so our costs actually easier for that part of it, it’s easier in the first quarter than it would in the third and the fourth. So that 7 may sail down a little bit but it’d only sail down from a comp perspective not from an average price perspective.
Michael Ward – Commonwealth Bank of Australia: And then the other one I have is on the $8 million, my sense as to what actually attributable to head count, plant inefficiency and also I guess the cost issues that you have outlined, can you just sort of rank in order which ones – actually is the plant inefficiency that was the biggest contributor to that disappointment?
Louis Gries: Yeah, we are a manufacturing company, so yeah plants are going to be a lot where a lot of our costs are, so when they move just by a small percentage it’s a big number when you miss by a bigger percentage in most other areas, that doesn’t compete, so yeah. Manufacturing is the biggest cap in our result this quarter.
Michael Ward – Commonwealth Bank of Australia: Maybe just a question for Matthew, stock comp is obviously – related to that, those unrealized losses and the interest rate swaps, can you just sort of give us a – the stock comp increase sort of annualized and continues through the rest of the year and then are you expecting sort of any of that unrealized losses or interest rate swap issues that we should be weighing on at this point?
Matthew Marsh: The stock comp forecast as you know can be difficult because of – you have to forecast where you think the share prices are going to do and then it depends on a combination of new grants exercise and new grants issue and the vested grants exercised, so I wouldn’t expect it to continue at the same rate, if for no other reason because of how much the share price rose last year and I think the comps will get a bit easier but that’s hard to speculate and it really depends on what the market does with the share price. On interest rate swaps, that’s another one that a year ago I think broadly most economists and probably lot of us over glass of wine would have said that interest rates are probably going to go up not down and we are taking a lot on that interest rate swaps because rates have moved down since we first did. I think it’s fair to think that rates are more likely to go up than down, to the extent that they go up, obviously then what we experienced this quarter for the swap we wouldn’t repeat to the extent that they stay where they are at or they continue to down, it will create kind of the short term pressure, we think given what our fundamental strategy is and the pricing that we take our swaps out at over the long term that would still be a good value for shareholders. And then on the FX losses, I don’t think that will repeat, I think that’s a – we had a unique circumstance this year in that we had dividends that had a record date in March and we re-valuate those right before the quarter and then whey they paid obviously we had to re-value them again and we don’t expect to obviously that will repeat, so some of it is the timing of that and to be frank some of what’s occurring in the FX losses this quarter is when we book the initial revaluation of those in the prior period we didn’t do it correctly, so we had to catch that up this quarter, that wasn’t a material issue for the prior quarter but nonetheless it created a little bit of additional headwinds or pressure for this quarter. So I do think that line item is unique to the quarter and that doesn’t – I wouldn’t expect that line item to repeat, the other two line items are bit tougher to forecast.
Operator: Your next question comes from the line of Andrew Peros from Credit Suisse.
Andrew Peros – Credit Suisse: Just trying to reconcile some of the comments you made earlier that market conditions with the US volume growth, you mentioned PDG with positive but not as positive that you would have expected, we know new housing was down, so that would imply R&R that quite conceivably, would that be a fair assumption?
Louis Gries: Yeah, I think you have to show me how that equation would dissect, because like I said we don’t follow quarter to quarter as much as a fourth quarter rolling, and our general comment on that is going to be saying, we are doing better in our R&R than new construction but I don’t think this was an outlier in that, I think it would have been in line with what’s happening in the last three quarters.
Andrew Peros – Credit Suisse: And just to follow up on your comments around growth CapEx, I guess I would interpret some of those comments, I think in the previous quarter you guided to about $200 million of growth CapEx each year for the next three years, I am wondering how – if that might change considering that you are having – a slower market and the impact that this expansion is having on margins, I think also included in that is that an assumption around some greenfield capacity, should we assume that continues to go ahead or should we assume that that’s maybe priced [ph] for a later date?
Louis Gries: You should assume it goes ahead had we booked the – and trying to figure out [indiscernible] So you will start to see some of that greenfield mainly in the form of land show up in our CapEx, but the market – I don’t know, I mean, I guess like a lot of people, I am having trouble figuring out the market – we are in a recovery market and we are not yet at the level of housing that used to be recession type level, so just like almost a different equation and we don’t in the past, but I don’t think we have been there long enough to say that our need for CapEx changes dramatically I think I mean I don’t know you guys probably remember better than me but I think the housing has been running softer than expected for even nine months now and I don’t think that, that does allow you to do some deferrals on start-ups but I really don’t think it allows you to defer building capacity just because it takes a couple years to build capacity, so you can’t look at a soft period that’s nearly less than a year and say hey we don’t need that two years from now but you can be sure that our guys that work on capacity plant are now putting in new levels in their equations and if we can slow some capacity down, and not put supply at risk that’s what we will do but at this point we are not there.
Operator: Your next question comes from the line of David Leech from UBS.
David Leech – UBS: My question is very simple, it’s actually guidance, the bottom at the guidance is 205, and historically how at this time better in the June and September quarters, as we head into the back half of the year, I am just wondering how confident you are about the bottom end of that range?
Louis Gries: I mean we think it’s the bottom, so we are obviously pretty confident. I know what you are saying though, the 50 times 4 doesn’t even get you at the full year, and we just consider that a replicate problem as much as a bad fourth quarter problem. I covered this, some things in that first quarter that dampened the first quarter result aren’t going to repeat in the next three quarters.
David Leech – UBS: Would you care to put a dollar number on what you would say won’t repeat in the first quarter the 8 million but if you add up all the things that you even easily eliminated in the first quarter results?
Louis Gries: I think the whole idea is number one, it’s a 30 million range, so we are not trying to get it to 205. But we think 205 at this stage, so as far as giving you kind of [indiscernible] I don’t think we go to that degree but to answer to your initial question we think that 205 is safe.
Operator: Your last question comes from the line of Andrew Johnston from CLSA.
Andrew Johnston – CLSA: Just a couple of questions around a few things there, you mentioned – Lou can tell me if I am wrong, you mentioned inefficiencies in the business that weren’t related to start-up.
Louis Gries: We just had a couple of them, those would probably be the more normal things that the start-ups kind of create problem, those things – if they were on top of start-ups we definitely wouldn’t talking about them but I mean it’s a bit disappointing and the performance of some of the plants that don’t even have start-ups going on.
Andrew Johnston – CLSA: You previously talked about – Lou shared the flexible membranes, is that still an issue and is that category still or how do you say that going forward, is that out of the reason you are losing share?
Louis Gries: I mean there are two catch in the share, so share for cement board is going under tile as I would say slow decline as both just some technology takes a greater share on the wall and let’s turn – that is there is a fiber glass, mash, gypsum technology that used to be patented and one company had it, and the other are now patents expired. The other gypsum companies are launching their products and their channel – they have a channel advantage through the gypsum channel, so I think you are finding more gypsum reappearing on the wall, now it’s in a different form, it used to be paper gypsum and now it’s now fiber glass mash gypsum, so that has some impact on the total market share, and cements forward, and that doesn’t direct – that doesn’t affect us as directly as the other cement board manufacturers because we never – take a gypsum channel, in fact, we are very, very small players in the gypsum channel. Now the other one that mesh in the membranes, which they are a little bit separate but they are kind of talked about the same. That’s more of a floor product, are some of the membrane products are up in the walls but the one that goes after our space is the floor product. I would say that is continuing to grow at a pretty slow rate. So that’s not the problem, we are talking about, we are actually talking about our share in the categories, so now we are in the cement board category, I was sharing the category has declined recently and I am not talking about large decline but like I said we are down 3% in an outmarket in the quarter so again it’s a short period, so there is going to be a lot of variance in the comp but I still – well what we have been doing in the interiors is kind of drilling down and we find the weakness in our program and that’s probably we are on the resource in certain geographies and that’s where we are losing some share but not share of cement boards, that has nothing to do with membrane. And that’s largely in the retail channels as well rather than a cross-sell channels.
Andrew Johnston – CLSA: Just understand – as I have sort of netted, the decline in permit demand were forecast, so if we go back to that expectations, that in ’15 be able to get double digit and that will continue to expand from many years, if we go back to that May, the May number was about 9% and you expect to be up to 9 high – high single digits, and now we are back at about single digits a bit better, what’s caused that, is that reflecting interiors demise or obviously this quarter I mean up until now you’ve similar growth to SmartSide and obviously SmartSide has had a good quarter but just to change that outlook –
Louis Gries: So coming into the way we have it internally is coming into the recovery market, internally we established 6% as the floor and like I said earlier, you need to add some 9s to get where we want to go. So you are right, last year we were right at around 9 and I am not saying we are not going to be around 9 this year, so I shouldn’t have misled you at that comment. But six is a floor, I am seeing the results, I don’t think one piece of information we need for that calculation as in yet. But my guess is it’s going to be quarter to trend – if you look at just that one quarter which we don’t look at four quarters, but if you look at one quarter, you would say, hey it looks more like 6 to 9. But I don’t mean to be forecasting that we are not going to do 9 because I am pretty with 9.
Operator: There are no further questions at this time. Mr. Gries,
Louis Gries: Yeah, no, that’s fine. Appreciate everyone’s question. Appreciate everyone joining the call and look forward to seeing those that are going to join us in the US tour in September. Thank you very much. Bye.